Operator: Please stand-by we're about to begin. Good day, everyone, and welcome to the IAC Reports Q4 2014 Results Call. As a reminder, today’s call is being recorded. At this time, I’d like to turn the conference over to Mr. Jeff Kip, Chief Financial Officer. Please go ahead, sir.
Jeff Kip: Thanks, operator. Good morning, everyone. Welcome to our fourth quarter earnings call. I have here with me Greg Blatt, Chairman of the Match Group and Joey Levin, CEO of our Search & Applications segment. Just to remind you, we’ll not be reading any prepared remarks on this call, they are currently available on the Investor Relations section of our website. Before we get to Q&A though, I would like remind you that during this call, we may discuss our outlook and future performance. These forward-looking statements typically maybe preceded by words such as we expect, we believe, we anticipate or similar statements. These forward-looking use are subject to risks and uncertainties, and our actual results could differ materially from the views expressed today. Some of these risks have been set forth in our fourth quarter press release and our periodic reports filed with the SEC. We’ll also today discuss certain non-GAAP measures, which, as a reminder include adjusted EBITDA, which we will refer to today primarily as EBITDA for simplicity during the call. I’ll also point you to our press release and again to the Investor Relations section of our website for all comparable GAAP measures and full reconciliations for all material non-GAAP measures. And with that we’ll jump right into Q&A. Operator?
Operator: Yes sir. [Operator Instructions] We’ll take our first question from John Blackledge with Cowen & Company.
John Blackledge: Great, thanks, three questions. First, with quarter major registrations up 30% year-over-year on January, does that imply a year-over-year increase in net paying sub-ads in 1Q ’15. Order mobile and desktops registration to paid conversion rates, you know the January - our January results have in fact core matches during the quarter? Second for Match, can you quantify the significant first quarter EBITDA decline on a year-over-year percentage basis and also quantify investment loss in the Non-Dating businesses in 1Q ’15 and 4Q ‘4? And then lastly for Tinder, just timing for global monetization and is advertising on Tinder in the plan for 2015? Thank you.
Greg Blatt: You have challenged my note taking power, so let me…
John Blackledge: I can repeat.
Unidentified Company Representative: Okay.
Unidentified Company Representative: I think we got it.
Greg Blatt: Let me try and hit all there. There were lot of I think subparts in there, so let me try and hit. On the 30% reg growth, think about it this way, which is in any given period, your paid subscribers - your new paid - right, your end period, your subscribers are going to be - partially the subscribers who came into the period and that a new set of subscribers. And those new set of subscribers going to come really from three different places, one is sort the reg that you are getting it that time call that the 30% in January. So then you get a piece from reg to didn’t convert it quickly who are the prior period and then you get a bunch from sort of a restart, okay so people would sub before and come in. We’re seeing big growth in that top section which is the 30% but it certainly doesn’t translate into 30% paid sub-growth in the same period. In February, we’ll have another good February and then we’ll also have a better sort of reserve all old regs from January because we had a great January, so the momentum builds over the course of the year, it’s a very positive sort of sign but it takes a while to trickle into that kind of PMC growth. But just as example though like I would put the flash number is for January and we ended January with North America subbed up 6.3% versus I think December ending in the 4. So it shows you it’s not - it doesn’t translate directly but the momentum is building and we expect that momentum to build throughout the quarter. You know one of the things that’s going to drive sort of a lower Q1 EBITDA rate is we’re increasing marketing spend over, but January, January was actually even, the big increase is coming is February, March. So we expect PMC growth - growth of our PMC growth to accelerate meaningfully over the course of Q1. In terms of I think mobile to desktop conversion, there is different conversion from mobile web for iOS app, the Android app. In general, it’s little behind desktop, it’s been getting better, but this is a class three. So I said there was a small deficit on a blended basis, but clearly with the kind of volume we’re seeing that is net pickup meeting - we’ll take the dilutive conversion for the significant increase in reg. There is no question that the positive offset the negative there. In terms of sort whether is Match is sort of turn the quarter. Look, I think we’re having a really good January, we expect to have a good year. I think year was obviously not our best. You know we’re doing a lot of product, our marketing is better. I think there were sort of shot because the system last year sort of overall with Tinder sort of explosive growth. I think the system is sort of - system has digested that, I mean Tinder is still growing really well but we’re seeing accelerating growth and everything else. Through we feel really good about it. Next I think was a question on Tinder monetization, but I am not sure exactly was it was, why don’t you repeat.
John Blackledge: Yeah, just the timing for the global monetization and then is advertising on Tinder and the plan for 2015 and I had one other one.
Greg Blatt: Okay, but we started the test in I think December. The test is ongoing, we expect to be global certainly by the end of Q1 with a full rollout, it’s a little later than we thought but you know that’s the life of the startup. And you know startup so inherently sort of - you know they are not as recommended in terms of when everything exactly happen, that’s with the nature of a two year old, fast growing enterprise. But we’re out of, we’re testing in both iOS and Android right now and we expect to be sort of fully rolled out certainly this month. In terms of advertising, I think I’ve said in the last call. When we talk about Tinder numbers in the past, we’ve not included ad dollars, but I’ve also said we do expect ad revenue to be a meaningful part of the mix. I think that exactly when we will believe that and will be a combination of opportunity sort of resource allocation choices that we make. I would certainly expect to have some ad revenue this year exactly when and to what extent, I am not clear to say at this point. And you said you had one other.
John Blackledge: Yeah, that’s - yeah just quantify the significant 1Q EBITDA decline on a year-over-year basis?
Greg Blatt: Sure.
Unidentified Company Representative: In the Non-Dating losses.
Greg Blatt: Right, let’s see the biggest thing is we are - if we think about I think there is about $15 million more of COA spend in Q1 ’15 over ’14 and then call it $4 million or $5 million incremental sort of net investment in our Non-Dating businesses. And our investment to that part of that is Tinder I guess so our historical investment businesses. As I think I said in the prepared remarks, we’re expecting more than 100% of the total losses for the year in our Non-Dating business to be in Q1 and so that takes a big hit and that’s different than last year. We sort of accelerated a lot of the spend especially in the day we burn business where we just found the returns are just much better early in the year. And so when you sort of put all those things together that really dives the Q1 down. I think if you want to think about the Non-Dating businesses for the year, the investment there is in the sort of low to mid-teens in millions which is down meaningfully from last year and which right now we would expect that to be sort of neutral to positive in ’16 sort of how we think about it. So those factors together drive down the Q1 EBITDA as I think I said we expected 2Q EBITDA to be positive and healthy for the full year to be the same.
John Blackledge: Thank you.
Greg Blatt: You’re welcome.
Operator: And next, we’ll go to Ross Sandler with Deutsche Bank.
Ross Sandler: Okay guys, just one of following up on Tinder and then one on Search. So on Tinder, can you give us an update of what the total number of MAUs currently on the platform are and maybe how fast the MAUs are growing? And then what kind of total revenue contribution due you expect from Tinder in 2015? And then which also on the Search, can you just give us a little more color on the over $300 million in EBITDA guidance for 2015, you guys noted some of the hiccups from the recent changes at Google for Ask, but that’s a pretty meaningful step down versus what was reported in ’14 so just not more color of what’s going on there and then any update of the Google contract renewal? Thank you.
Greg Blatt: Yeah, I think Tinder MAUs continued to growth really well, was not disclosed the aggregate number I think that they are up approximately - there were up about 200 - 200%, was up 100% I guess over last year, that growing very strong. In terms of…
Unidentified Company Representative: January was the biggest months.
Greg Blatt: Yeah, January was the biggest month we even had which you expect because that’s the season of last month’s category but growth continues - that’s right, by far growth continues very strong in this business and globally and domestically. So it’s continuing to roll from a huger growth perspective. In terms of monetization, I sort laid out last time sort of a general straw man that we thought was a reasonable straw man, nothing is really changed in that. I also in prepared remarks I think talked about how I can be chopping on even. We expect to general meaningful revenue this year with some modest EBITDA contribution and that’s putting into significant contribution and revenue next year. But we’re really you know look this is a startup, it’s an odd startup because it has within a public company, but you know 50 year old company and we’re not going to sort of - we’re not going to get it hung up on sort of quarter-to-quarter sort of projections, because just it’s not good for company like that, we’re focused very much on long-term value creating here, we think it’s a unique and tremendously valuable asset. We started monetizing I think earlier than many other would just because that’s our philosophy. We think that is good for businesses to be able to grow - both grow uses and generate revenue at the same time, but there is certain not spec, we’re going to be walking around with people out for quarterly revenue. So I think we are going to let it sort of produced at the pace that produces. We expect to be driving monetization improvements throughout the year, but we’re also be doing lot of other things. I think ones it’s rolled up although I will be in position to speak better and more completely on what I think the near term expectations are as opposed to long term, which I think are tremendous.
Unidentified Company Representative: In sort of the 300 million, we said over 300 million and we said over 300 and I feel good about over 300 million, so I think we’ve got some growing possibility there. But the - when you are comparing that to 2014, you know there is a few things in 2014 that don’t low 2015, the biggest one is as we point out the Google change that’s affecting us that comparability to market on Google. So when we carry that forward, that’s probably the - that is by far the biggest factor in that. And there is just the old things like there is the Chrome ran rate which we’ve talked about the older Chrome experience that was they are in second half of ’14 up in some tail on that in second half of ’14 which doesn’t run through ’15. And…
Unidentified Company Representative: Just few other small things, we sold Urbanspoon, we’ve give a little investment in Ask.fm, Slimwear from a P&L perspective, GAAP P&L perspective has investment in it although they are not some of our cash perspective. And so all those things flow through to - there is number there but you know I feel good that will be over 300 million. And as it relates to the Google contract, we still got over a year less than the existing agreements and I don’t think there is anything to report other than there is an active market for people looking for this have to be unless you’ve seen Yahoo! just won the Mozilla deal, there is a lot of activity going on right now and everybody in the market Google included has suggested they are very interested in our business after the current contract. So we’ll report on there when we have something to report.
Ross Sandler: Great, thanks guys.
Operator: [Operator Instructions] We’ll next go to Jason Helfstein with Oppenheimer.
Jason Helfstein: Thanks, two questions. Greg, can you just talk a little bit more about kind of what’s driving a lower Koga [ph] how of its competitive dynamic for the ala spending by competition, is it - how much of this is you got they are better things whether to a social marketing or doing a better job with local conversion, so just a little more detail around what’s happening there because obviously you are saying you have significant confidence to invest behind it? And then secondly I guess the question kind of for Jeff for broadly. To the extent you know Search keeps declining on a consolidated basis for EBITDA, is there a point of which it does not make sense to spinoff Match because there is not enough value in the core and then do you consider effectively separating Search from everything else and ultimately how do you do that, how do you think about that? Thanks.
Greg Blatt: On COA I think there is two things going on, we’re seeing better, we’re seeing lower COA on a unit basis and we’re increasing aggregate COA impart because of that. And I think what’s driving sort of the better returns we’re seeing, I’d look at the combination of things, our offline market is working better, working really well and better than it was. We’re getting better at mobile paid acquisition which is something we’ve talked about is a discipline that we need to get better at and that were starting to, opening up some channels there that are working really well for us. I think those are really the two big drivers at this point. We are starting to play in video and social and everything else, but still relative small. I think that was you know on the Match side.
Jeff Kip: Yes, and look, we very often the structural question. I don’t think relative growth in any given business is the hugely material factor to those kinds of things. And look, they’ve happened in the past, but we’re not out saying, we’re discussing them and I sort of - I understand your line question, just not towards the right path to go down and it’s not really the way we think about it, so.
Jason Helfstein: Thank you.
Operator: And next from Peter Stabler with Wells Fargo Securities.
Peter Stabler: Good morning, thanks for taking the questions. I’ve got one for Greg and one for Joey. Greg, could you give us a little more color on the pullback in marketing spend in Q4 for Match, it sounds like the marketing it’s more productive. Curious is to why that would lead to a pullback? And then Joey, I am wonder if you could offer us a little color on the Website Page View metrics there, what were the drivers on this decline and if you could breakout any kind of sub component color that’s will be great? I’ll add one more for Greg. On the 4% growth, you know our in-out payments having any sort of impact negative impacts on revenue generation? And that’s it, thank you.
Greg Blatt: On the fourth quarter, I think if you look at the fourth quarter, it’s always seasonally low marketing period for us and Q1 is always the seasonally high. In this Q4, pricing of inventory is the highest and dating behavior is the lowest. And Q1 which is Q1 is the most active time for users to engage their product and it’s when inventory is the lowest. So you know those two dynamics working on seasonal basis and then we just felt what we’re seeing in Q4 in terms of the marketing opportunities what we expected to see in Q1, we saw better to spend having in Q1. We sort of - we’re business that likes to grow revenue and profit at the same time not necessarily every quarter. But overtime we felt Q4 was a good time to pullback on marketing a little bit and take some extra profit knowing that we’re going to invest it further in Q1. So it’s just sort of the in game decision that we make on the way. We ended up pulling back more than we saw what we originally, but we felt there is some good thing to do when we’re able to put cash in the bank and have accelerated growth here in Q1. So that was really the thinking. On the other question, I am sure I understood it. Can you repeat the other Match question and then Joey can?
Peter Stabler: I was just wondering, would the growth of mobile whether you guys were impacted by a sharing the revenue in app?
Greg Blatt: Look I think that it’s still small today. The - there are two ways to think about the app store fee right, one is as a pretty reasonable cost of acquisition reg share deal and the other is highly unreasonable payment processing fee, right. And the reality is probably somewhere between that’s little about. And the trick is overtime is that grows, are you able to sort of improve the efficiency of the rest of your marketing spent and then are you able to improve monetization of those channels. We believe the answer is yes, in fact I told you that our COA is down this year and overall impart that because we’re getting a bunch of registrations in users in the app store that we weren’t getting last year. And so, so far so good in that area, I think it is something that we need to watch but I do think that overtime we’re going to be expanding margins outside of the app store by reducing marketing cost on a sort of per unit basis and I think that’s why overtime we still expect margins overall to expand meaningfully in this business.
Peter Stabler: Right, thanks and then any color on Websites from Joey.
Joey Levin: And so we’re throughout to see the page views down but it’s also not huge, I mean - I’d like to see that, that start to grow. But the - if you look at the mix, we’re using page views in lower RPM channels and growing them in higher RPM channels, so we’re growing well, the page view is declining, it’s not that we’re putting more ads on anything if fact depending, we’re decreasing the ad load where we can, it’s because we’re getting better at selling the ads and they are optimizing the ad programmatic premium et cetera, but also because we’re shifting to higher RPM channels. So overall that’s an okay trend, but it’s very much like see the page view we start to grow. And I think what will drive that there will be some noise over on the year on that especially with the sale of Urbanspoon and making adjustments for that. But the page views should start to grow and we’d like to see it start to grow is on About.com and through high quality content. We’re putting a lot investment into that content. We know infuriately that we’re publishing the best quality content in the categories that we’re publishing. So we’d like to start to see the traffic grow on that and that definitely that we’re making. You know just in terms of other component, the mobile is certainly growing faster and the biggest decline here in terms of page view is it’s for sure Ask.com and that will continue to be the case over the course of ’15 especially with the change that rolled out over the last few weeks.
Greg Blatt: Maybe just I want to correct the earlier question that I jumbled. Tinder under use are up more than 3X year-over-year not 2X and as Jeff said, we have a fair traffic generally so I just jumbled that with sort of it.
Operator: And next, we’ll go to Brian Fitzgerald with Jefferies.
Brian Fitzgerald: Thanks guys. Maybe a bit of follow-up on about you mentioned the new platform and site design is driven engagement monetization. I am wondering how much of about advertising is done programmatically maybe if it gives that a loose break and then how much of it which you consider negative maybe versus display versus video at about? So that’s first question. And then second one, just broadly on, in terms of investment at Vimeo, is that more around content or distribution or growing subs, any color there would be great?
Unidentified Company Representative: Sure and about, I am not going to breakout the pieces of revenue but I’m trying to give you some color. Native is sure important and for sure growing and I can’t really give you the slight that comes native because the way it really works in terms of sale is native is a component of really most premium campaigns now. So it would - you’d buy some standard units and some components of that would be native and native very much drives the sales in the new platform enables us to see native in a way that we’ve sold it before. So we’re seeing great demand on that and it’s working to supplement or accelerate the premium just like that, but I don’t wanted to breakout of what’s where, I don’t have to say that you know everything is sold, the more we sell premium and our average deal size continues grow there and the momentum in the market continues to grow. The more see premium the more it lifts up the rest of the stack. So from premium it goes to private marketplaces and all the - the more inventory reading up there the better it’s been for the overall and that’s a good trend that I think we’re - that have accelerated every quarter and I think we expect that to continue throughout 2015.
Jeff Kip: And in terms of Vimeo, you know for the year and for the quarter the biggest piece of the increase is really COA in terms of increasing marketing and there is also some increase in content acquisition for Vimeo on demand.
Brian Fitzgerald: Great, thanks guys.
Operator: And now we’ll go Chris Merwin with Barclays.
Chris Merwin: Great, thank you. As you mentioned in your prepared remarks that you expecting phenomenal growth in ‘16 for Match, is that just is effectively reaffirming long term guidance if 500 million in EBITDA for the Match group in ’16. And if so I was just wondering if you could help us walk through that bride from ’15 to ’16 Match EBITDA, Greg you obviously mentioned that Non-Dating investment for the full year in ’15 but a little of Tinder loss issue would be expecting in ’15 and how much of that will recur? Just only try to bridge that gap between ’15 and ’16, what that implies for both Tinder and the core because if just on simply math it looks like it’s about 10 points of margins expansion year-on-year? Thanks.
Greg Blatt: Okay, I think - the way I think about the 500 is the way I’ve always thought about the 500 which is I am not saying you necessarily hit, I’m saying it’s a good target representative the kind of growth we expect to have to a long ways off. I’m totally confident that this position is going to hit 500 million of EBIDTA whether it does it in the four quarters ending December 31st ’16 or whether it’s next in five quarter or two, that’s just hard for me pinpoint at this point. Obviously as I said in my prepared remarks, we just locked 10 million plus of defined FX movements. You know ’16 it makes it that much harder, FX was that the other way it’s not much easier. So I don’t want to get too hung up on the position of the 500 in ’16 although I am backing off the general state which is we think we can get there we may we may not but we’re certainly going to get there at some point soon and frankly beyond. I mean if you look at the business, we are still only 20% to 25% traded in this business in North America, never mind rest of the work, we think that’s going to grow dramatically. So I think we’re talking about dramatic growth whether we hit the 500 precisely or not. That said, we still see the same reasonable path to get there in ’16 and we’re not backing off, it is just you know it’s the nature of these long term things. Like the way you get there is really in the non-Tinder businesses sort of modest expansion of revenue growth rate backup to sort of a low double digits by ’16. Meaningful margin expansion in ’16 you know Dating margin will be flattish in ’15 but we expect significant expansion in ’16 due both to increase Tinder contribution but also sort of the payoff from sort of the Meetic projects that I’ve been talking about that’s rebound in Meetic, Meetic locked fair amount PMP in ’14 that is going to - we’ll pay the price of that in ’15 as we trying to build the backup just the nature of different revenue. And then FriendScout, which we bought at the end of ’14 is negative in ’15 and then we complete the integration at the end of ’15 and it puts into a nice positive in ’16. So when we combine those things plus with what should be a normalization and sort of marketing increases in ’16 versus more meaningful in ’15, you get meaningful margin expansion there. And then you have Tinder, which you know as I said on the last call, it sort of laid out a straw man, it’s basically doubling MAUs over two year period and getting the monetization rates that are sort of two third the rate OkCupid in North American and Western Europe and when tends that everywhere else those things will either happen or not. On the Tinder, I am quite confident that will happen and when then happen and precise that timeframe whether it take little longer of we fine little bit I don’t know, I’ll be in a better position to talk about that over the next couple of quarter. So I think the general point is, we think it’s a reasonable target, I don’t want to get too hung up on the position though, we are got to get there if not precisely then very soon then after.
Chris Merwin: Got it, if I add in one follow-up, just as it relates to Tinder monetization, can you just talk a little bit about what type strategy you are using internationally, what has worked well, what hasn’t worked well and have you settled on how that you are going to monetizing this business globally by the end of the first quarter?
Greg Blatt: Yeah I think long term we talked about the fact that it’s going to be the mix of sort of three fundamental revenue streams which is recurring revenue, subscriptions, ala carte revenue sort of payment and advertising. We started off primarily with the direct recurring payment, that’s what we’ve been testing that can roll out globally and you know we expect the others to roll in overtime. But I don’t want to be too precise in terms of that timing because it’s going to play out over the course of the year.
Chris Merwin: Thank you.
Operator: Our next question comes from Heath Terry with Goldman Sachs.
Heath Terry: Great, thanks. Just a few questions. You guys spent 260 million or so on acquisitions last year, what would you say the level that you feel like you are probably end up that for ‘15 from M&A perspective? And then given the size of that number, can you give us some clarity on the organic growth at IAC or it’s the very least sort of the contribution that you are seeing from these acquisitions in the quarter and the impact that it’s having on your guidance? And then I guess Joey, if you could give us a sense of exactly what changes that were if it you saw from Google that are negatively impacting us, not that you’ve been through really two years or over two years of these sort of off events from Google, do you see a point where this is going to end or is this just sort of what you are going to have to deal with that they are going to continue to be making these kind of revisions that negatively impact the business? And then last question if you could, just give us a sense of what the strategy is for IAC Films given the success of top five, is this something that the company is going to incrementally invest in?
Jeff Kip: So let start with little bit of the first and let Greg and Joey comment as well, then take the last. Like IAC Films is a small business we did, we got a couple of films out in the last year, I think that’s sort of a reasonable rate to expect. I do think you’ll see IAC investing a content broadly against several business, obviously we have Vimeo, obviously we have Electus, so it’s consistent with what we’re doing there. Look, I think in terms of acquisitions, we don’t have a bunch of stuffs related or anything like that, but I think over the last two years, we’ve pretty consistently done a few small or mid-sized acquisitions. So have seen About which was fairly significant a couple of years ago. So I think all out equally you’d expect some activity, but it’s a number we forecast of we give a number out. I think broadly growth is primarily organic because there is some offsetting things. You know this year we took some different revenue write downs, you have some differed revenue accounting at SlimWare that we ramp up it actually end up with a negative EBITDA number. So I think we’re largely organic with probably, modestly a little more contribution in Search then in Match, but not really significant contributions overall from last year’s numbers based on the puts and takes. Joey, Greg, you want to add anything to that.
Joey Levin: I think that’s generally - we look at lots of things, we don’t budget for anything, you know each acquisition tents to be film analysis. And when they turn out, you can get it done, you get it done, sometimes it come in bunches. I think looking at the Dating category, I think that there are definitely things out that the right price we bought I think we can meaningfully improve the multiple areas like smaller group of things that we think are more exciting strategically versus financially that you know you could see doing it some point in the future or you could do event, I think educations in area we obviously bought Princeton Review. I think you could see some small things there or not, you know just really depends on the opportunity I think that - I haven’t come back and looked at the staffs, if you do, I’d sort of probably project them forward because over multiyear, I don’t think we’re in a particularly different place one way the other then we’ve been in terms of our general M&A advertising.
Greg Blatt: My answer is similar, I mean we’re going to continue to prioritize, in terms of the M&A, we’re going to continue to prioritize the content business is, where we think we have an edge. And then on the application side probably favoring you know non-Search base application models. I think that is has been an interesting thing for us but we don’t have a certain amount of capital side and nothing meaningful plan. And generally we’ve been making relative smaller bets, I think the Apalon and SlimWare combined with this roughly went to what we sold Urbanspoon so - you know it’s sort of targeting measure bets where we think that the most of the execution happens post-acquisition - most of the growth that in post-acquisition. In terms of - I think probably I’ll take the next question. So Google changed specifically on Ask. This is a change to the advertising you know there is algorithm that people talk about a lot with respect to the organic result. There is also algorithms that drive the advertising results and bunch of thing. Go into there in significantly products per share but if only not just the highest bid that get you into the ad placement, it’s also a lot of factor like click through a planning page, relevant, key work category and a bunch of other factors. And that’s the thing they update, they update the algorithm and the inputs to that change effectively made it ineffective to market Ask.com and Google. We’ve been told by specifically by Google that it was not targeted at us, there was a broad change that impacted us and I think that we were with that, that probably we are a very large advertiser in Google, so it’s magnitude that the impact act is going to bigger. And you know when you think about it in the broad context of you know multi years, multiple impact and series of things we’ve seen, it’s - we do exist in Google Ecosystem and they do have a meaningful impact in media companies, digital publishers on the Web and certainly Search business is. So and of course our product - so we are meaningfully just within their ecosystem but when they sneeze, it’s going to - given their scale and they sneeze, it’s going to change things up in our building, it’s not - we talked them very regularly, it’s a consorted effort of their product to hurt us or can impact us. And you know in last couple of quarters, I think we’ve delivered some very strong numbers that’s impart to Google and unless they delivered on RPQ. So the overall thing is movement that Google are magnified and their impact on our business, but there is not a - and we’ve discussed with them directly, it’s not a consorted direct paten to about to impact our business. Was there another question, I can’t remember now.
Heath Terry: No, that’s, I guess one clarification, I want to make sure I understand exactly what Jeff was saying with regard to organic. Jeff, when you say that there was sort of no net impact, I am assuming you are referring to EBITDA because obviously if you spend $260 million that had a be a revenue like that?
Jeff Kip: And we expect EBITDA going forward, but I think that the impact this year was net about neutral actually and next year modest contribution from those businesses.
Heath Terry: Okay, thank you.
Operator: Our next question comes from Mark Mahaney with RBC Capital Markets.
Mark Mahaney: Hey, thanks. Two questions related to Tinder, could you talk about whether the user profile, how that’s changed, which demographic groups are starting to get much larger on the Tinder platform that kind of 200% year-over-year growth, are you pulling in for much older or materially older demographics then you have in the past? And then Greg I think you mentioned is 20% to 25% market penetration, can you just profile a little more color around. What do you mean there and what’s the tam are you doing on basic users or spend, just a little explanation on that? Thank you.
Greg Blatt: Sure, on the Tinder demo, I think and I copy all this thing, I don’t have directly in front of me and so I am speaking from a general, my general sense is it’s getting a little older although not dramatically felt and it is more about sort of bulking out in that younger demo so far then meaningfully increasing the age bracket and it’s also a lot of global, I mean it’s a lot about growth, you know I mean it’s growing meaningfully in U.S. too but a big part of that growth is also coming from markets in new area. So I think it’s still continues to be a predominately under age 35 sort of business with you know certainly some users in a growing amount older than that but not yet meaningfully change in the profile I think. In terms of the 25% number, again I confess this is internal sort of staff that we do some surveys and otherwise I think it’s generally that number - the percentage of single people not may committed relationship in the U.S. sort of who view a Dating product within X period time I wanted to say three months I am sure exactly and you know that numbers has been rising. I mean it’s been rising steadily but has accelerated over the past two year especially in that use site I went in some detail last time. And our general view is that A, that Usemo [ph] will continue to get older and with the Usemo and they are not going to stop and with the Usemo that concentration continue to increase with the penetration of mobile and this is just a great sort of use case. I’ve said for a while now I think in the not to just in the future you know everyone who is single is going to use a product like this for their single life, just they are going to use it as one of the things that they do. And so I think we’ve got a long way to go before sort of from a user perspective the market is saturated both in the U.S. and globally.
Mark Mahaney: Thank you, Greg.
Operator: And now we’ll take a follow-up from John Blackledge with Cowen.
John Blackledge: Great, thanks. The Tinder amount of 3Xs, can you clarify that, that’s January ‘15 versus January ’14? Second is how much had a huge fourth quarter, can you talk about the ’15 growth profile in HomeAdvisor stands up versus competition? And then just lastly, there is a higher EBITDA for Media and e-Commerce in the first quarter, what’s the - what are the key drivers there? Thanks.
Greg Blatt: Yeah, the yeah-end - I am sorry year-end - month end January for month January MAUs are more than 3X - more than 3X.
Jeff Kip: In terms of Media and e-Commerce in the first quarter, really substantially all of the year-over-year increase is COA more at HomeAdvisor than Vimeo but at both HomeAdvisor and Vimeo, so it’s increase marketing spend because we are having great success with marketing in both of those businesses and it will pay back well during the year. Look, in terms of HomeAdvisor, our HomeAdvisor is accelerated, the last couple quarter, it’s got almost 300 million in total revenue, it’s profitable, we think the business is doing well and we expect probably on a consolidated basis not to reach right that level but in the domestic business we probably still be approaching that level of growth you know in the 20% or 30% range for the coming year. And I think we stack up earlier for competition you know as the Mark said, we are by far the largest service provider network and when you look at the satisfaction data, we have best-in-class customer satisfaction in the Internet when people get a service provide and not is good when they don’t and we think that’s a huge key in this business and well there is some good businesses out there attacking the space. It’s very hard to build this kind of network and retain them and provide the service to the consumer. So I think we are pretty excited and optimistic.
John Blackledge: Thank you.
Operator: And we’ll got to Kevin Rippey with Maxim Group.
Kevin Rippey: Hi guys - excuse me - thanks for taking the question. If you could discuss some of the trends that were impacting the paid user ARPU in the Dating website put the - because they looks like they trended positive especially in North America and some puts and takes there will be interesting to hear about?
Jeff Kip: I think after this question, we have time for one more.
Greg Blatt: Yeah, I think when you look at the number that you look at you are looking sort of total revenue divided by quarter-end paid users that is going to impacted by a number of factors. One is sort of the rate within each product line. In general, rate is going up in the various product lines. There is then mix between the product lines that tends to be negative trend is OkCupid is the lowest price product and has been - is growing faster than the other businesses, so that brings down. I also think that - I think when you net those things out the way in North America was actually sort of flat sequentially but when you have a decline in paid users during the period which we had in Q4, you sort of advocating the four quarters revenue over a number is lower than the average number throughout the period, so I think that made us look a little more favorable that is. I think the overall trend for North America was about flat. And then in Europe it will impacted there by - North America - sorry - Internationally been impacted by negative FX which in the Q3 was down because the FriendScout acquisition you had all these purchase accounting. And in Q4 you’ve got rate again with and each product is basically flat up, but you’ve got some FX negatives and you’ve got still some purchasing accounting issues in the FriendScout acquisition impacting the international number. So those were the trends. I said before in general, we think that we should be able to increase within our various lines and then sort of mix will be what it will be as the different product sort of perform overtime.
Kevin Rippey: Got it, thank you.
Jeff Kip: Last question.
Operator: Okay, we’ll our take last question from Nat Schindler with Bank of America Merrill Lynch.
Nat Schindler: Yes, hi guys. Let’s see which are my question have we not talked about. Okay, Joey, I believe this is the best time in two years that Google has made a change that is substantially impacted your business. Given this ability for them to directly affect you within an existing contract, is there anything new can do in the upcoming contract negotiations that will effect this risk or will the contract simple setting and the pack for the next three years? And so Greg, can you tell me a little bit - talk a little bit about the core Dating cannibalizations occurring by Tinder, is that occurring because people are just going to Tinder first or they reducing their time within core Dating? Effectively, are you increasing you churn of paid subscribers by doing that?
Greg Blatt: I’ll the last question first. We’re not seeing a change - we’re not seeing any meaningful change in churn the impact you seen churn to come from the credit card reaches not from any other extraneous factors that we can see. As far as the cannibalizations, I wish I could be more scientific about that. These businesses didn’t have a great year last year and Tinder did and at some point we started think okay there is little cannibalization here, now that both do really well. So it’s hard to be scientific about this stuff, there is lot of factors that play I think clearly there was a I use to the shock resistant when you had this explosive growth that you saying that had a dynamic one time impact of people who might have either been going back to Match in second time or how had never used Match, who would have, who tried Tinder instead. I think that’s normalizing and it’s taking on more of a traditional sort of dynamic where there people who use Tinder who also use Match and there are people who use Match have gone to Tinder. And all you know it’s still incredibly early in all these dynamic. What I say is that we’re seeing growth in these core businesses on the user front that is very healthy and the healthy growth really continues its Tinder. So cannibalization is always this sort of what is analysis and you know it’s hard to say they are both going up into the right, right now which is really sort of what we trying to focus on.
Joey Levin: Considering the contract, we’ll certainly consider all information that we have and everything that happened over the last couple of years and a bunch of other things as we move into the next set of contract discussions and some of those things we may be able to address to do a contract and some we may not. I mean of course everything that’s this business is doing and experiencing is a factor we consider the next set of contract. You know the only thing I’d say I think we do a set of protect in there and I think we’ve generally fair better than our competitors in most of the events have happened over the last couple of years and I think that’s a result of good job on the last one.
Nat Schindler: Great, thank you.
Jeff Kip: And with that I think we just have to thank everybody for joining and we will ramp up and we’ll take to you next quarter.
Greg Blatt: Thanks everybody.
Joey Levin: Thank you.
Jeff Kip: Bye
Operator: And that does conclude today’s conference. We thank everyone again for their participation.